Operator: Good day, and welcome to the Logitech Second Quarter Financial Results Conference Call. At this time, all participants are in listen-only mode. We will be conducting a question-and-answer session, and instructions will follow at that time. This call is being recorded for replay purposes and may not be reproduced in whole or in part without written authorization from Logitech. I’d now like to introduce your host for today’s call, Mr. Joe Greenhalgh, Vice President of Investor Relations and Corporate Treasurer at Logitech. Please proceed, sir.
Joe Greenhalgh: Welcome to the Logitech conference call to discuss the company’s results for the second quarter ended September 30, 2012. The press release, our prepared remarks and slides and the live webcast of this call are available online at logitech.com. As noted in our press release, we have published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments, and we will not repeat them on this call. During the course of this call, we may make forward-looking statements, including forward-looking statements with respect to future operating results that are being made under the Safe Harbor of the Securities Litigation Reform Act of 1995. The forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated in the statements. Factors that could cause actual results to differ materially include those set forth in Logitech’s Annual Report on Form 10-K dated May 30, 2012 and subsequent filings, which are available online on the SEC EDGAR database, and in the final paragraphs of the press release and prepared remarks reporting second quarter results available at logitech.com. The forward-looking statements made during this call represent management’s outlook only as of today, and the company undertakes no obligation to update or revise any forward-looking statements as a result of new developments or otherwise. This call is being recorded and will be available for replay on the Logitech website. Joining us today are Guerrino de Luca, Chairman and Chief Executive Officer; Bracken Darrell, President; and Erik Bardman, Senior Vice President of Finance and Chief Financial Officer. I’d now like to turn the call over to Guerrino.
Guerrino de Luca: Thanks, Joe, and thanks to all of you for joining us today. The recent significant slowdown in the PC market took a toll on our sales in Q2. Sales in all of our PC-related retail product categories were below our expectations, and the category with the largest shortfall was pointing devices. We believe the lower than anticipated sales in our PC-related categories were significantly influenced by the deteriorating condition in the global PC market, and it is increasingly clear that our pointing device category is the one most correlated with new PC sales at this point. I must say I was quite pleased with the quality of our execution during Q2. In spite of the 7% decline in our sales compared to the prior year, we delivered slightly more operating income. And the primary driver of our improved leverage was the 210-basis-point increase in our gross margin, which reflected several operational improvements and more than offset the negative impact of a weaker euro. We continued to execute per plan with our new product launches with the release of compelling new products for tablets, smartphones, digital home, Mac and Windows 8 in time for the holiday season. I’m excited about all of our new products, and let me highlight a few of them for you now. As part of the late Q2 rollout of our line of Logitech UE music products, we launched the Logitech UE Mobile Boombox and ultra portable speaker that connects to aptitude smartphones or tablets at the same time to play and control music wirelessly from up to 15 feet away. The Logitech UE Mobile Boombox sets a new price performance level in the emerging wireless speaker category. We decided to make our new Logitech UE operating initially available primarily through the Apple stores. Distribution will expand significantly as we progress through the current quarter and beyond. We are now been lining up our products specifically designed to work with the Windows 8 touch interface including two touch enabled mice and a wireless touch pad. We introduced our Logitech Broadcast Wi-Fi webcam which provided the flexibility to do more than other webcams including live streaming and shooting professional great videos from different perspectives. We also recently revised our Harmony remote offering with the Harmony touch, our first new IN Harmony in several years. This is to say that our plan of revitalizing our product portfolio is on track. We are focused on large non-PC related categories as well as on preparing to take advantage of the major discontinuity in PC navigation brought by Windows 8. Speaking of products, we are very pleased with the sales of our outlook in key cover, which includes a protected cover for the I-Pad screen as well as a built in keyboard that prepares via Bluetooth. This feature list does not do justice to the appeal of this product. It was our best selling product by far in Q2, all categories included and demand continues to be quite strong as we enter the holiday selling season. Let me turn the call over Bracken now, and I will return shortly to provide a wrap up before we start the Q&A.
Bracken Darrell: Thanks, Guerrino. We were in a significant deterioration in the PC landscape in the last 90 days. The global market for new PCs has proven itself even weaker than we anticipated. It’s unclear how much this weakness can be attributed to the pending launch of Windows 8, but it has negatively impacted our second half sales outlook for our PC peripheral categories. In addition, we’ve also experienced much more softening in the emerging market demand with China the most significant. We believe our weakness in China is primarily a result of the country’s softening macro conditions. We continue to see a significant growth potential for Logitech in China. The PC penetration rate is relatively low. Our brand is well established in our categories and we’re focused on making our products available, wherever consumers choose to shop. Over the last several years, we developed our China presence primarily in the big IT malls. These malls were consumer hubs for all things PC related. We’re seeing a gradual shift now toward more modern retailing with the expansion of both big box retailers and ecommerce in China. As you would expect, we’re aligning our refill sources within China with the evolving retail environment. China remains a large opportunity for Logitech and we expect to return to growth there this fiscal year. I’m also as Guerrino was pleased with our execution across multiple inventions of our operations. We’re executing our bigger and fewer product strategy with the benefits expected to become visible in the second half of this fiscal year and continuing in the fiscal 2014 and beyond. We’re making good progress reducing our product costs. And our operating expenses in line with the goals of our restructuring and we’re simplifying many of our key processes. These improvements start to become visible externally beginning in fiscal 2014. And looking at the remaining two quarters of fiscal 2013, we are planning for continued strong headwinds in the gold PC market and expect this will have a negative impact on our PC peripheral sales. It’s possible that the launch of Windows 8 could become positive for our PC-related categories this fiscal year. We will present around Windows 8 with a compelling array of targeted products from launch. But we do not believe it would be prudent to plan for quickly about PC platform in our sales around this fiscal year. Because based on this planning assumption, we now believe that weakness across our PC categories will more than offset the gains we expect to achieve from the stronger product lineup. Our increased presence in non-PC related categories improved execution and reduced costs. Consequently we now anticipate our sales and operating income for the second half fiscal 2013 will be below that of the second half of our prior fiscal year. As you would expect, we will mange our spending in line with the current environment. In addition, we are taking a hard look at the various categories of our business to assess where we should out accelerate or change any parts of our strategic plan with the goal of improving the company’s performance. I afford to updating you on our progress from January. Now let me turn it back to Guerrino.
Guerrino de Luca: Thanks, Bracken. When I look back at the plans we shared with you last quarter, it’s clear to me that the most significant change has been accelerated deterioration of conditions in the global PC market. Conditions are even worse than we expected and that has led us to reduce our expectation for sales in our PC peripheral categories for the remainder of the fiscal year. We are pleased with our execution in delivering great product in hot categories reducing our cost base and simplifying our portfolio and our company. We have entered the holiday selling season with our strongest product portfolio in several years. We are encouraged by the initial response to our new products from our channel partners and from consumers and we will continue to manage the things that we control to rise improve performance. Bracken, Erik and I are available now to take your questions. Please follow the instructions of the operator.
Operator: Thank you. (Operator Instructions) And your first question comes from the line of Alexandre Peterc of Exane BNP. Please proceed.
Alexandre Peterc: Yes, hi, good morning to you guys. Thanks for taking my question. I just have two category questions. The first one will be on audio which was actually very weak in one of the key disappointments in the reports and of course, the PC cycle doesn’t help, but perhaps it was a certain death of the docking speaker which was behind the declining revenue as well. So it helps you could quantify how much of the decline was down to doc speakers and how much to the PC cycle overall? Or perhaps tell us how much docking revenue is left that will disappear from your portfolio there? And also do you expect audio to improve in the current quarter with the new range or will it that’s not be enough to come back to growth in that category? And then secondly on the iPad’s keyboard obviously, very strong momentum there with the ultra slim particularly. Do you expect that to accelerate further and do you have any plans to upgrade the existing line up of tablet keyboards or an expansion of that range? Do you think cover keyboard for the iPad mini for example is feasible? Thanks a lot for taking my question.
Guerrino de Luca: Thank you, Alexander. I will begin answering. I’ll let Bracken sort of give you more rounded answer. You are right in identifying audio is a catch-all category. There is legacy products in there, and there is the future of our music business in there. The future of music business is doing well. It’s impossible to compare it with the past, because there was no future music business in the past. So the business in audio category was fundamentally PC speakers, PC headsets and docks. So you’re right. Both the PC speakers and PC headsets are influenced by the PC decline, and docks have been kind of condemned to extinction at some point in particular by the changes in connectors that Apple made. So they all contributed to the decline. I will leave it to Bracken to add to this and to talk about the iPad product.
Bracken Darrell: Yeah. Just to round out that answer, as Guerrino said, on the music categories, it’s about – it’s proceeding about as we expected – the decline in the legacy markets, especially the docking, and we’ve got growth as we expected in the new markets where we see not only category growth but our opportunity to really gain significant market share over time. On the iPad, we’re very excited about what’s happening in iPad accessories. I mean we’ve got – I think we’ve said we’ve almost tripled our business in this versus a year ago. And, yeah, we absolutely will continue to work on products for the future, as you would expect. Related to the iPad Mini, we’re not going to announce anything today.
Alexandre Peterc: Okay. Thanks a lot.
Operator: Thank you. And your next question comes from the line of John Bright, Avondale Partners. Please proceed.
John Bright: Thank you. Guerrino, Bracken, a follow-up on the last question, first. Could you quantify maybe in the quarter how much of the sales were from, let’s call it, in the audio segment, traditional audio products versus new products looking forward?
Erik Bardman: Yeah, John, this is Erik. Let me give you a little bit of sense there. Guerrino touch on it briefly. When you look at our audio portfolio today, even there we just launch the products that we’ve talked one’s in headphones, and one in wireless Bluetooth speakers. It’s very small relative to the legacy business. We just launch it at the beginning of September and we just started to get full distribution as we got into the month of September. So, for now it’s suffice it to say that the vast majority of audio is make up of the legacy business and we would see that changing every time, and I think in Q3 when we show you the results for Q3, we’ll be able to give you a sense of how we gained traction in the new products, and so where does the legacy stands. But today it’s significantly legacy products.
Bracken Darrell: I said in the prepared remarks that we are fundamentally, first of all we launched our Logitech UE line late in the quarter, and we restricted distribution at the beginning through the Apple stores fundamentally. We did that because we believe there is an enormous value, marketing value and being present in the Apple stores, our presence there is the biggest presence that Logitech ever had in Apple stores. And we believe that will benefit the category our self beyond those distribution channels. But Erik said it right. Our results in Q3 we’ll be able to sort of better articulate how well this category is doing.
John Bright: The question on the guidance you provided. Can you offer any level of magnitude that sales and operating income might be down? One. And then two, whether or now you have much impact built in from Windows 8 associated with that? And I guess three, help us get a sense of how much of this is related to – I’d assume the majority is related to traditional PC type product, just not declining – or declining faster than your new products you think you’re going to contribute.
Guerrino de Luca: Yeah, just to go – I’ll go through each one of those. Can we give more guidance than we’ve given in the release on our outlook for the back half? The answer is, not know. But we do see – we see a pretty big range there and it’s based on the fact that the Windows 8 impact is pretty difficult to predict right now. And the impact for our new products rolling out is also – it’s very early, so it’s hard to say, although, we feel very good about them. Yeah. Windows 8 as a platform it kind of creates – rolling out right now, so we certainly have products around it that we’re very excited about. How quickly it takes hold is a question mark. And the last part, we feel very good about the new products, as I said, tab accessories, music, the product that are attacking the new computing platforms. And we feel not so good about the PC platform right now. It’s in a slowdown. And as Guerrino said, if you can recall, the second quarter was pretty big dip. What’s going to happen in Q3 and Q4 is, I think, anybody’s guess but we’re going to plan conservatively.
John Bright: Let’s talk about the – reassessing your strategy within some of the PC related product categories. What specific strategic changes could you share with us that might be out of consideration?
Guerrino de Luca: Well, we’re not prepared to get specific today, although I’ll come back to you in January and give you some specifics. What I can say is we’re going through every category. The strategic choices we’ve made within the categories, distribution, product portfolio, the whole range of strategic options, as well as there are categories that we just simply shouldn’t be in. So we’re going to look at everything.
John Bright: Last question,. LifeSize could you talk to its profitability or lack there off in the quarter and whether or not you still view that as a strategic fit?
Bracken Darrell: Lack there off is probably a better way to position the profitability of LifeSize this quarter. I must say even though we are not disclosing the P&L of LifeSize that we’re working hard at improving the profitability situation even with a market sort of demand that has been so feeble. You know the decline in sales is something that we’re not pleased to see. But we look around and everybody is saying the same things about what’s happening now with video conferencing and I won’t use the rest of this call to discuss all the dynamics that are playing in there. Suffice to say that our priority is to return LifeSize to profitability at any level of sales virtually any level of sales. We want to make sure that the asset begins to deliver what we hope and would. Either than that it remains within the portfolio the same way it has remained within the portfolio in the last 24 months. And there’s nothing else I want to add.
John Bright: Thank you.
Operator: Thank you. And your next question comes from the line of Simon Schäfer of Goldman Sachs. Please proceed.
Simon Schäfer: Yes, thanks very much. Actually I had a question about the gross margins in the quarter it seems like it’s actually a good surprise there, maybe you can just share some of the dynamics that drove that I guess what I’m trying to understand is to whether that’s a sustainable uptick now whether there was anything extraordinary like in the quarter whether to make so or any other efficiencies that you’ve been able to push through I’m just trying to get a sense on the duration of that?
Erik Bardman: Sure, Simon. This is Erik. Let me give you a little bit of sense of gross margin in the quarter. There are really two primary things in terms of what drove it. Both in our Americas region and in our European region our teams did a very good job of managing our channel pricing programs in the way in which we ran our promotions during the quarter. Now to your point a little bit is all that sustainable, some of it is what I would call program improvements, things where we are I think operating a little bit smarter and being very intelligent about where we put our dollars to work. Some of them were opportunities that we took advantage of in the quarter. I may not necessarily go forward. The other piece is we’ve been working very hard as we always are but I think we saw some, some good results in Q2 in terms of trying to get efficiencies out of our supply chain. Now there is no one factor here that I would call out and say, this is the most significant thing but I would say is that it’s across the range of things and it could be things that we’re making good progress in terms of warehousing cost, freight and duty. Again I think the similar mixture to what I told you about on the pricing program side. Some of this is things that we think we can carry forward and we’re going to work very hard to do that but some of that was you need to just some time in things within Q2. You have to consider also that the performance of gross margin will depend especially in the other basis and by the actual performance of the PC market and our PC peripheral. We don’t want to lose positions on the shelf. We may have to promote certain products more aggressively based on where things are. So this is part of the enormity of the uncertainty around the performance of our PC peripherals, which led Bracken to sort of, indicate that we expect at this point and we plan to be lower than last year. As we said, there is a very wide range of outcomes here and probably you would certainly be working on the upside of this but there is a significant downside possible that includes the gross margin because of what we may want to do and have to do in across the promotional range.
Simon Schäfer: Understood. That’s very clear. Thanks. And my second question, I see, it’s sort of along the same lines on pricing and what you are doing in the channel in the sense, I guess, in your figures it seems like sell-in specifically in Europe is outpaced sell-through by materially on area basis. I think it’s the third quarter in a row now. So how much of that gross margin upside is effectively channel some sort of pricing, but perhaps less how of that is actually going to sold through. Some risks around that or how should I think about it? Thanks.
Guerrino de Luca: Sure, Simon. To your last point there, I don’t think there is a strong linkage at all in terms of the good performance of gross margin in the quarter and what you are seeing in the divergence in sell-in and sell-through. So I don’t that was a significant factor at all. And when you look at European region itself, this primarily that and we have talked about this, one of the challenges you have when you are comparing year-over-year growth rates, is you really have to look at what was happened in the year-ago period and what’s happening now. And when you specifically look at Europe, in Q2 of last year, our sales in were down in local currency about 7%. That provided a pretty easy comp when you look at the growth we are able to achieve this year in sell-in. And then what compounds it a little bit is when – the opposite is exactly – the opposite is true on sell-through, which was plus 6% last year, but down this year. So at any one point in time, we always expect to have a couple of points for sure of gap. This is never something that’s perfectly balanced. When you take these two diverging comparables it creates the bigger gap in Europe. But to come back to the very first part of your question, I would say that we feel that we are watching channels very closely. I think we have got a good handle on it and I think we are reasonable in total in terms of how I think about the channel. But it is one of these things, this is a snapshot metric in time. This is something that we are looking at everybody and obviously to what both Guerrino and Bracken have said, if the market changes, I think we have got appropriate levers to move within the quarter, but I think we started about the appropriate place.
Simon Schäfer: Understood. And actually I wanted to ask a follow-up question on Bracken’s statement about “Let’s see what happens with the Windows 8 and maybe come back to investors in January about what may or may not be required in terms of strategy.” But let’s just assume for a second that maybe some of the stuff we’re seeing in the PC channel is somewhat more structural than, perhaps, thought. Are you seriously contemplating exiting some of these lines more aggressively? I’m trying to get a better understanding on how much appetite you have to take some really drastic decisions to slim down some of the areas that have a high PC correlation historically. Thanks.
Bracken Darrell: Yeah. We’re – again, we’re not going to be specific today. But everything – we’re going through each category. We’re looking, first and foremost, within the category what’s the strategy. What choices have we made? Where are we in the portfolio? Are we driving the price-value equation appropriately enough? Is our innovation pipeline strong enough? So that’s our first priority. The second one is, as I said, to go through each individual category and ask the question – is this a business we want to be in long term based on its growth profile, its level of profitability and our potential to win. And we’re going to go through each one of those. And in January, we’ll give you a good solid update.
Simon Schäfer: Great. Thanks so much.
Operator: Thank you. And your next question comes from Andrew Gardiner of Barclays. Please proceed.
Andrew Gardiner: Thanks very much for taking my question. Two, if I could, again, on the financial side of things. I’m just wondering if you can help us understand how much, if any, of the $80 million in cost savings that you’ve been able to see so far – I know most of it was going to be back-half loaded. But if you can just say whether or just how much is in there in the first half? And also around the cash flow, you’ve had some fairly big swings in terms of inventory up, receivables up, and payables also seem to have been stretched in the quarter. So if you can just give a bit of color around what’s going on in working capital, particularly with a view to the new product launches you got going on in prepping for the holiday season? Thanks very much.
Guerrino de Luca: Sure, Andrew. I can touch on all those for you. In terms of the cost saving for the restructuring that we’ve done, we did see some benefits in Q2, but you really touched on the point right, is that we still anticipate that the vast majority of the savings start to show up in the second half and particularly as we go into next year. And just to dimensionalize it a little bit is, what we’re seeing in Q2 is we saw some benefit on our operating expense line from the restructuring. We saw a little bit in cost of goods sold and that flowed through gross margin. But more importantly is we had the series of planned investments. These are the things around our music launch, as well as things that we’re doing around tablet peripherals that in the near term is offsetting the savings. But I feel very confidant in saying that we are on track to achieve that $80 million of net savings. And the way that we really see it work in is that when we get to the end of this fiscal year that we would be on an exit path to make sure that our run rate is set up to do that, and then fully realizing in the P&L the $80 million net next year in FY ‘14. So on tack and to give you sense of where we are right now. Now to your second question about cash flow overall, I think, a couple of things is, right now today, given the cash balance that we have, we do feel comfortable that we’ve got adequate working capital for everything that we need to do. I know you mentioned product launches as well as other things that we’ve got on our road map and feel very comfortably positioned. And let me just remind everyone in terms of, there is some unique seasonality a little bit in terms of how our cash flows during the year. In the second half of the fiscal years, typically when we produced really all of our operating cash flow, I think just to give you representative example, I think last year it was just under $200 million that we produced literally all in Q3 and Q4. So I’m assuming that the point in a year where I have my seasonally strongest cash flow and we only expect to be able to rebuild our cash balance overtime. But let me make sure I come back to – that we feel very good in terms of where we are today in terms of flexibility. And I think to know other part of your question in terms of working capital and the increase that we’ve been talking about you mentioned you saw some swings in our payables and in our inventory as well. Let me take a step back particularly I use it a payable as an example. Over the last four or five years the swings that you saw even though they seem large we’re pretty much in line with the rains that we’ve had. Remember this is a pretty high volume period in a year for us when it comes to working with suppliers and other things as we ramp for the holiday season. So just the movement of the timing of just the few payments can really swing the DPO metric or something like that. But sort of bringing it all the way back we feel comfortable with the working capital we have and we feel well position in terms of knowing what our business typically produces in cash flow over the second half of the year.
Andrew Gardiner: That’s great. Thanks very much for the detail.
Operator: Thank you. And your next question comes from the line of Tavis McCourt of Raymond James. Please proceed.
Tavis McCourt: Hi, guys. I’ve got a couple of questions. But first is the bigger picture one. One of the things we see going on is kind of this multi decade trend from kind of Bricks and Mortar retail to e-commerce playing out in the developed world and I’m wondering do you have enough data to know whether that your market share in some of the e-commerce channels is as high in the Bricks and Mortar better or worse and is that something that – is that trend meaningful enough to kind of impact you in any single given year?
Bracken Darrell: Let me try to add to this, we are increasingly present on line. We want to be we love our brick-and-mortar retailers and we love the retailers, the large retailers are increasingly sort of waiting in terms of our customer list and the overall level of profitability that we accomplish across this channel is very sort of, similar. So there is we don’t have a preference in terms of, sort of, profitability that things go one way or another. We know we completely see this trend. We see it even in emerging economies, you know, reference to detail in China that Bracken made is an indication. So we are embracing it and its not – of all the secular or macro sort of, questions it’s not the one that has most significance when it comes to our future performance. The most significant questions if I can expand is actually the PC platform and how the dynamic evolves there. In calendar Q2, PC sales were flat. In calendar Q3, PC sales were down almost double-digit. IDC data – that I was talking. A collapse of that metric is unusual. It is totally unexpected, nobody expect it. We were very prudent, believe me in our anticipation of sales of PC peripherals that is not as prudent. Is it going to continue and if it continues at which level, so that those are the fundamental questions for us in the coming – not in the coming six months, in the coming 18 or 24 months. I think we will learn a little bit the dynamic there through the launch of Windows 8 and not just because of Windows 8, people – its because Windows 8 comes with a flurry of exceptionally good PCs that the PC industry hasn’t seen. The only place to find an exceptional PC was the Apple store up until now. You wanted same thing, you go the Apple store. You want a light thing, you go to the Apple store. You want a light thing, you go to the Apple store. You still do by the way. But PC makers are doing enormous progress and they will take advantage of the introduction of the Windows 8 to come with very sexy products. Will that make a difference? That’s the biggest question right now our industry is facing and much more than the shift in channel at this point.
Tavis McCourt: Got you. And can you give us at least maybe some rough numbers to think about in terms of, you mentioned audio was kind of a catch-all category, but how much of that is kind of PC audio the speakers versus what’s kind of iPod and Bluetooth Wi-Fi for tablet type audio?
Guerrino de Luca: Yes, Tavis, just let me give you a little bit of a view to that. You know when you look at the business like I said today, what we reported for Q2 for audio, the vast majority is the legacy businesses. Now when you go into that and you see, for example, our PC speaker category, believe it’s the largest piece of that today, right. First and foremost, vast majority in Q2 is not related to the new music launch, it’s related to the legacy. Then when you break it down a little bit further, PC speaker is by far the biggest. And then you grab the pieces that Guerrino talked about in terms of headsets and then dock business. Now the dock business, which is interesting is that, yes, there is a structural decline that you are going to see in the dock business, I think it’s going to be present there for a period of time. That doesn’t mean that we are not going to try and make money on it. We still have docks in the market. We are still trying to actively make sure that we can profit even if that market declined, but as we play the sport particularly when we get to the end of Q3 and we talk to you about how audio is playing and how our new music products are doing, we will continue to make sure we can make money where it’s decline but also our main focus where our R&D, our marketing, everything is going, is around the new products we have out.
Erik Bardman: Let me add one thing to that comment. If you were to – we don’t break these subcategories out, but if you were to break them out, what you see is very significant growth because we basically weren’t in it on the digital speaker segment, good growth on the earphone/headphone segment, streaming music still very good, and you’ll start to see a strong decline on the docks, which we’re not positive about docks because of the move that Apple made, which we think actually favors us. So there is going to be that – that story is going to run through the next several quarters, and you won’t be surprised by that the next time we talk about that. But underneath that, we feel good about our music line so far.
Tavis McCourt: Got you. Thanks a lot.
Operator: Thank you. And your next question comes from Corey Barrett of Pacific Crest. Please proceed.
Corey Barrett: Guerrino and Bracken, thank you for taking my questions. First, I was just wanting to touch on tablet peripherals. I didn’t know if you could provide any more information on what your percent of revenue is there either for mice and keyboard specifically or just the overall product portfolio. And then, specifically, on the ultrathin keyboard cover, that was a lot stronger in the quarter than we anticipated. And I was hoping that you could – any color you can provide on your attach rate to iPad there would be very helpful.
Bracken Darrell: Yeah. We don’t disclose, again attach rates. It’s actually pretty difficult to even measuring the tax rate. The growth of both the iPad themselves and our ultrathin keyboard is so high that it’s difficult to say. I’ll just give a little more color than I gave earlier. I hope I’m not too repetitive. We saw a tripling of our tablet accessories business. We’re not disclosing exactly what percent that is. It occupies the – it sits in the keyboard category though. It was the primary driver of growth in our keyboard category. And so rest of our business is relatively flat in keyboards, but still strong. And we’re very optimistic about the future in that business. We certainly are excited every time Apple comes out and talks about a new product, because we see that as a potential growth area for us.
Bracken Darrell: Let me add one thing about something that may have escaped in the upper announcement, because everybody wanted to see the meaning, we saw it. They also announced an upgrade to the iPad and that’s a very interesting theme, because what they said is the iPad is mechanically identical with the only exception of the connector which bodes very well for a continuing business around the current peripherals that we have, particularly, obviously the keyboard cover and the solar folio. So that’s good news in my opinion. We make one allusion that this is going to be an easy market with our competition. You’re kidding me. I mean Apple is rumored every morning to be looking at the success of the ultrathin and saying, why don’t we get a little bit of that business our self. We’re used to it. We see the same thing on surface by the way. And we are used to this kind of competition and we usually do well in this space, witness what we did around the PC in the great days of the PC. I don’t think there is any reason we can not replicate that around the tablet platforms. So we are sorry not to be able to give more specific. The way we sort of classify our product today sort of tends to be a little bit kind of confusing. Overtime, I think we will have to fix that. But I hope that the color that I can provide it in what I added there, helps a bit.
Corey Barrett: Yes, it does. And then following up on the gross margin sustainability question from earlier, can you provide any sort of directional expectations for gross margin in the second half? And then not to beat the dead horse but can you say how much of the gross margin improvement is attributable to the pricing programs versus how much is attributable to the supply chain efficiency improvements?
Bracken Darrell: Sure Corey, I will try and touch on both of this for you. So obviously we mentioned all the reasons why we are not in the position to provide you detailed guidance today. But to talk a little bit more about what might move gross margin going forward as you’re going to the second half. They’re big valuables for us and I think Guerrino even touched on it a little bit is given the weakness in the market and it’s interesting too because when you look at our business we have a normal historical seasonal pattern. But given what’s happened in the PC market I would mention to say that this isn’t true normal seasonality, right from that perspective. So when you put that on the back drop and you look at if the PC market stays as weak as it is or hopefully not but if it were to become a little bit weaker while you could see suppressed gross margin going forward. Some increasing price promotional pressure like in terms of where you’re depending on for transitioning products things like that. So that’s one of the things. The other thing is and this has typically been one of the biggest variables in our gross margins both over the quarter-over-quarter or year-over-year it comes down to product mix. And this is both product mix within the category so before selling mice at the higher end of our gross margin range versus the lower end or between categories. If I’m able to sell more or less of products that are above or below my company gross margin average. So those would be the valuables that we watch that could unfortunately suppressed gross margin especially in this weak environment. To come to the second part of your question in terms of in Q2 sort of portioning it out I really I’m not in the position to be extremely precise. Let’s say it’s roughly probably about equal in terms of when you look at the benefits on the supply chain versus the things that we are able to do in terms of controlling our pricing programs and being pretty effective with our commercial dollars.
Corey Barrett: Okay. That’s very helpful. And that’s my last question. Thank you.
Operator: Thank you. And your next comes from Paul Coster of JP Morgan. Please proceed.
Paul Coster: Yes. Thanks very much. The OEM business, do you think that’s been a kind of, secular change in terms of the OEMs willingness to outsource to you or is it to simply a function of the dislocation in the PC market this time?
Bracken Darrell: No, Paul. I don’t think we think there is a big change going on here. I think at the end of the day, first I should say, the OEM business is a smaller and smaller part of our total business but it still plays important role for us. It gives us a Window into really what’s happening in the industry and it also provides some scale benefit that that we continue to enjoy in our total Nelson business especially. So you know, we continue to be in that business and its been helpful. Its – in terms of the secular change in it, no we don’t think so.
Guerrino de Luca: To be very clear, just let me – so as everybody is on the same page here. If you model vastly our OEM amount sales of desktop PCs. As you know the hard disk category in PCs and (inaudible) today. Its an ironic comment. That I think – actually our service actually is pretty decent. So we have in loss share and we – and the business continues to be profitable and helpful, so its going to be on a secular decline. There is no question in my mind and we’ll have to make the right decision at the right time about it, when it becomes too small to matter.
Paul Coster: And my follow-up is on Harmony where, you know, clearly the space is more contended than it was previously with Google, Apple, Samsung, others. Taking the users and space quite seriously, obviously IP addressable equipment and IR blast is included in some of these handsets. Where do you think that business is going and is that part of your strategic as well?
Bracken Darrell: You know every category is part of our strategic review and you can bet Harmony is right in the middle of that too. In terms of how the category has changed overtime, you know, honestly, we don’t an enormous change happening out there. You are right, there continue to be innovations happening by all the TV makers and remotes and you see innovations coming from us. So just launched Harmony Touch this quarter and we are excited about what that could potentially do. So, yes, we still think that’s a very interesting space to play in and we are very interested to see how we can execute and pull off something here in Q3 and in Q4, as we launch Harmony Touch.
Paul Coster: Okay, thank you.
Operator: (Operator Instructions) And your next question comes from Andrew Humphrey of Morgan Stanley. Please proceed.
Andrew Humphrey: Hi there. Thanks for taking my question. And I have just got a question on gross margin, I was wondering, how much of the gross margin benefit was due to write-off taken in this quarter and can you quantify an absolute dollar amount sales you got brought down last year?
Bracken Darrell: Well, maybe I think to give you a sense, there were no significant write-offs taken in Q2 that would have impacted gross margin. I don’t know if there is something you are seeing that frames that question, but no, nothing of any size or significance.
Andrew Humphrey: And my follow-up is just about, you previously mentioned 60% of OpEx savings from personnel, how much the rest of have identified and will you not identify specifically?
Erik Bardman: Sorry, you broke up there a little bit, you mentioned a percentage, was it 60.
Andrew Humphrey: Yes.
Erik Bardman: Okay, 60, got you. In terms of where we are in the restructuring, the savings that we are seeing is, we are on track and what I mean by that is not only in terms of achieving the run rate that we talked about, but also most of the geography of where it is going to come from. And particularly on the personnel side, we’ve made all those decisions and all those employees impacted have left the company and have left their payroll. So from that perspective those changes are done and we are on track overall in terms of things we are doing.
Andrew Humphrey: Okay, that’s great. Thank you very much.
Operator: Thank you. And your next question comes from the line of Andreas Mueller of Zurcher Kantonalbank. Please proceed.
Andreas Mueller: Yes, thank you for taking my question. Can you say if there are any restructuring or audit charges in your operating profit guidance for the second half, maybe related to also to this strategic review?
Erik Bardman: Yes, Andreas, so right now today I would say that related to the restructuring that we announced back in Q1 there is probably another couple of million dollars, maybe it’s $2 million or $3 million of charges that we would anticipate, all related to decisions, some of them that were timing delays that will happen in the second half. I won’t be specific about whether Q3 or Q4, but we will fully anticipate getting that done by the end of the year. And then to the other part of your question, way too premature to say that, you know, what bracket in the team and what we are looking through in terms of strategic assessment of our businesses, no charges planned. You know we will obviously talk to you in January in terms of where we are at, any decisions we are going to make differently and then obviously whatever benefits or other impacts come from that.
Andreas Mueller: Okay. Thanks and the follow-up would be on the tax audit in the U.S., would that have any changes to the tax rate in the U.S. or is that just the one time order?
Erik Bardman: Yes. So in terms of the tax – and I’ll be careful because I’m sure people don’t want to get into tax accounting on a call. But it is primarily a one time benefit here in terms of audits that we were reach closure with the IRS on. And these are things that we had in our 10-Qs over the last number of periods. We’ve been audited by the IRS and we were able to reach closure. So we had the benefit within the quarter. Now we do anticipate, the only piece I would take on forward is, we do anticipate in Q3 that we should be able to reach closure with the IRS on two other audit years. This would be FY’08 and FY’09. And if that does happen during Q3, we would expect to also see a benefit, so a reserve release. It would be significantly smaller than the $32 million this quarter. So that would be a little bit of what we’d see going forward, but no other tax rate guidance that we’re in a position to share today.
Andreas Mueller: Okay, thanks.
Operator: (Operator Instructions) And your next question comes from the line of Maria Ancupova of AKO Capital. Please proceed.
Maria Ancupova: Hi. Thank you so much for taking the question. I was just wondering, if you could comment on inventories in the Asia region and EMEA. Thank you.
Bracken Darrell: Sure. Maria, I’d be happy to give a little bit of sense. And let me start with the second part of your question, in EMEA, and why should – I’ll give you a picture overall and then I can talk about the regions a little bit. So when you look at our inventory in total. It was up sequentially and it’s pretty normal to see that this time of year, which is within the normal range of sequential increase that you would see. And it’s down slightly year-over-year on a total basis. Now – I’m sorry – just a lot of static on the line. I don’t know if that’s in your line (inaudible) or others.
Maria Ancupova: No, my line seems to be clear.
Guerrino de Luca: Okay, all right.
Maria Ancupova: Sorry.
Guerrino de Luca: No, it’s okay. I just want to make sure you’d be able to hear my answer. So up sequentially within the normal range down a little bit year-over-year in total. Now obviously this is something similar when we were talking about our channel inventories. This is something we give you a snapshot in time it’s as of the reported quarter. But this is something that we’re looking at on daily basis. And so right now today I would say overall we’re at very reasonable level and varies a little bit by regions. We could be a little higher or little lower in certain regions. But it’s something particularly given the environment that we expect we’re going to watch this very closely and we do have some levers that we can move and changes we can make as we get into the quarter. As we get specific to – I can do that start Asia and Europe you know right now today I would say in Europe I would say we are appropriately positioned could that be a heir high in Europe but maybe a heir low in the Americas that actually could be the case. We’re going to take that up and then look at the totality of it. Specific to Asia Pacific I think we’re again in the back to the right place. The biggest part of our business there today is China and we talked to you about the fact that we’ve seen a slow down but then specifically when you look at our channel inventory in China it is down sequentially. And we have a much bigger business there than we did a year ago. So we’ve got the appropriate investments for that footprint. But long answer to your question I think we’re reasonably positioned and we are watching it very closely.
Bracken Darrell: Let me add some further color here. We have in market or bound to get to market the most richest portfolio that we’ve ever had for, for a holiday season. So do not sort of, confuse our very prudent outlook vis-à-vis what we see the PC market out there and therefore the prudent outlook vis-à-vis our short and mid-term performance with degree of opportunities that exist around our portfolio. So we are confronted with two very contracting picture. And when it comes to inventory, a lot of the inventory is the new products coming and so its very normal and its particularly important this year when we have big products in the pipeline and sort of, in the inventory and in a channel. So its most uncertain holiday season that I recall and my 15 years of Logitech. Bracken shows appropriately to call it the way we called it. And now its about execution.
Operator: Okay. Thank you so much, guy.
Guerrino de Luca: We lost you there Maria.
Operator: That concludes our conference call today ladies and gentlemen. You may now all now disconnect and thank you.